Operator: Please standby. Good day everyone, and welcome to the Copart Incorporated First Quarter Fiscal 2021 Earnings Call. [Operator Instructions] For opening remarks and introductions, I would like to turn the call over to Mr. John North, Chief Financial Officer of Copart Incorporated. Please go ahead, sir.
John North: Thanks and good morning. During today's call, we'll discuss certain non-GAAP measures, which include adjustments to reverse the effect of certain discrete income tax items, foreign currency-related gains, certain income tax benefits and payroll taxes related to accounting for stock option exercises and the effect on common equivalent shares from ASU 2016-09. We've provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures on our website under the Investor Relations link and in our press release issued yesterday. We believe these non-GAAP measures, together with our corresponding GAAP measures are relevant in assessing our business trends and performance. We analyze our results on both GAAP and non-GAAP basis. In addition, our comments today include forward-looking statements within the meaning of federal securities laws, including management's current views with respect to trends, opportunities and uncertainties in our markets, including with respect to the COVID-19 pandemic. These forward-looking statements involve substantial risks and uncertainties. For more detail on the risks associated with our business, we refer you to the section titled Risk Factors in our Annual Report on Form 10-K for the year ended July 31st, 2020 and each of our subsequent quarterly reports on Form 10-Q. Any forward-looking statements are made as of today and Copart has no obligation to update or revise any forward-looking statements. And with that out of the way, I will turn the call over to Jay.
Jay Adair: Thanks, John. Appreciate it. While fiscal 2020 was a record year despite the pandemic, and as we talked about in the last quarter, our people performed across the organization through what was really a year of not just challenges, but a year of unknowns, and we met daily, we course corrected daily, and I'm happy and proud to say that we had an amazing - not only record year in terms of results, but in terms of accomplishments. And Q1 of this year is starting strong and I believe it's indicative of the year ahead. I was talking to Jeff this morning, 26 years ago, Willis and I went to New York and Copart became a public Company. And as I stepped on the streets of New York and saw it for the first time, I was amazed and when we eventually went public and I saw the inner workings of Wall Street, I was amazed and I was confused. And today, 26 years later, I can't say I understand Wall Street any better. I think that's probably a good thing. What I do know is a great Company when I see it, and Copart is a great Company. Jeff and John are going to give you guys details today on the quarter, but at the highest level, when we look at Q1 we saw record results, we saw record sale prices and we saw record returns for our customers. And that bodes well for our future. Copart has continued to grow over the years. We've done that till process have being prepared, we've done that through excellent technology, the best systems, the best technology in the industry and the best people delivering the best service in the industry. And I see no reason why that's going to change. Just three years ago, the entire EBITDA for Copart for the year was nearly $538 million, and then this quarter, we generated over $275 million of EBITDA. And we knew this was going to happen, we started a campaign, 3.5, four years ago called 20/20/20 where we went out and aggressively started adding land to our existing locations and opening additional new locations and then in addition to that, we went out and opened up mega sites for catastrophes all along the Eastern seaboard and all the way over to across the Gulf and into Houston. And so we've continued to be prepared, we've continued to spend big on land and we did that again not only in 2020, but in the first quarter of this year. We now have a record number of acres available to us to store cars, and that means that we have the capacity for not just the market as it grows and we'll continue to do so with technology and cars, but as we continue to win new business. I view our continued investment in land as a continued investment in our future. And looking forward, we still have a large list of acquisitions that we would like to make. We won't be able to make them all, we won't be able to get the zoning, we won't be able to get the deal done on the land. And as many of you know on the call, some of these acquisitions can take three, four, five years to come to fruition. But we have a big pipeline, and we'll continue to work on that as we continue to believe in our growth. I'm happy to say that volume assigned is starting to return to pre-COVID levels. I actually had a little bit of traffic on the way to work this morning and we haven't really seen that in six months. So volume is almost back to where it was prior to COVID, not quite there yet, we still don't have everybody driving as frequently as they were before COVID. But clearly, we are starting to see a lot more miles driven across the country. Sales still lag, volume and this is obvious, but back when COVID started., we were selling off inventory even though we weren't getting big assignment volume, now we're getting large assignment volume and not selling off the inventory yet. So in the next quarter or two, I suspect we'll be selling those vehicles off and could be more or less back to normal in terms of assignment volume and sales volume in about six months. I'm excited about some of the new changes we've made in our senior management team. You heard John this morning, John has a two-decade plus experience in the Automotive industry, working in automotive companies. And so, I'm very excited to have him on our team. I know he's excited about our future and to be part of Copart and we're excited to have him in our leadership team as CFO of Copart. I've said this before, our people and our systems have never been stronger. And as you know, we don't think about Copart in a quarter or in the next year, we think about it in the next five to ten years. And I'm excited about the team that we have upgraded and built in the last six months. Our CFO, our Chief Marketing Officer, our COO and Jeff leading the team, I feel very good about our executive leadership team and our future for the next 10-year horizon. So now for more details on the quarter, I'd like to turn it over to Jeff, our President.
Jeff Liaw: Thank you, Jay. It's been just two short months since our last earnings call, but it sometimes feels like multiple years' worth of world events have transpired since then. First, like as Jay did, I wanted to express how proud I am of the Copart team. It's been immensely gratifying as an organization to be able to do our part to provide an essential service to the communities we work in around the world. We've taken very seriously the importance of adapting our procedures to keep our employees, members and customers safe at the same time. The disruption and adaptation have been substantial and continuous and we're profoundly grateful for the commitment of our people to a job well done. Our aspiration throughout the crisis has been to deliver much more than business stabilization or business as usual. We've been committed to playing offense to improving the way we do business and to investing in our long-term future and we've done so. We deployed new products and features for both internal and customer facing applications. We've enhanced ProQuote, our best-in-class machine learning powered price estimation tool for our insurance carrier partners. We've grown our first to market digital loan payoff product. We've deployed electronic signature processes and we've updated our communications technology among many other achievements over the course of the pandemic. Under Willis J and many other senior Copart leaders who predate John and me, we had the foresight to build our businesses a natively digital one. We've been operating exclusively online auctions since 2003 and have therefore adapted our workflow smoothly to the pandemic. I wanted to draw out a few industry themes we've observed over the past quarter, really the past two quarters, many a continuation of the themes we talked about on the last call. We continue to observe lower than baseline driving activity, but with a steady increase from the pandemic trough with the U.S. generally recovering more quickly than some of our international markets. The data on miles driven is noisy depending on the source. We track many of the sources you do, Google, Apple and Rick's among others. Most of that data indicates they're still relative to pre-pandemic baselines, we are seeing much less commuting traffic and retail and recreation-related driving. Nonetheless, a meaningful sequential improvement from the - from the COVID-19 trough. As another guidepost, we note that the U.S. Energy Information Administration has recently published data indicating that gas consumption is down, plus or minus 10% versus a year ago. We have also seen relative increases in driving activity relative to other forms of transportation including mass transit and ride sharing where we've seen activity down some 50%. As for the other important drivers of our business, accident frequency, conventional wisdom has held that accident frequency is positively correlated with miles driven because congestion contributes to accident frequency. During the pandemic, we continue to see evidence that in some scenarios anyway, the opposite is true. One industry source has indicated substantial double-digit increases in speeding, phone usage and hard braking. With our roads less crowded, speeding and distracted driving have both increased contributing to increased accident frequency per miles driven. And then of course on total loss frequency and accident severity, which we have emphasized as the most important long-term driver of our business. The long-term trend of rising total loss frequency has very much continued during the pandemic. There are some indications that it may have accelerated during the pandemic, in part due to the high returns we are generating at auction. Turning to our unit sales trends, we experienced a global unit sales decrease of 13% for the quarter, with the U.S. unit decrease of 13% and an international unit decline of 11%. The unit decline of course has been driven by the COVID-19 impact on miles driven and therefore the absolute number of accidents and total vehicles. Our non-insurance business, within that non-insurance business, charities and wholesalers have been the most significantly affected by COVID-19. Excluding those two categories, our non-insurance volume has grown year-over-year, including those two categories, we were down a 11%. Within that non-insurance group, our dealer business in particular was up 11% in units sold year-over-year compared to what we believe were significant declines for other whole car auction platforms for dealers, a continuing validation of our business model. Our global inventory decreased 3.6% versus a year ago, that is comprised of a U.S. inventory decline of 3.3% year-over-year and an international inventory decline of 5.3%. Turning then to selling prices for vehicle at our auctions, despite some natural headwinds and the economic disruption of the pandemic crisis, we've experienced ASPs for our vehicles at all time highs, a reflection both of market dynamics as well as our own member recruitment and retention efforts. ASPs worldwide grew 37.3% year-over-year for the quarter with U.S. ASPs up 39%. Used car prices have no doubt helped to contribute to that high ASP environment for us. They are however only up 15% or thereabouts year-over-year based on some of the industry indices we track. With our selling prices meaningfully exceeding the used car price environment, we believe that's a reflection in part of our marketing efforts and member recruitment. Turning in to the last theme, we've closed out an unusually busy hurricane season and we are very proud of our CAT teams. As always, we stand ready to respond to catastrophic events with land, equipment and people that are second to none in the industry. This year was in some respect the most active Atlantic storm season on record with 30 named storms and 13 hurricanes. The property damage effect however was less severe than we've experienced in prior seasons, but we're nonetheless grateful for the Copart CAT team and their multiple mobilizations in support of our customers and communities this season. Before I hand it off to John to walk through our financial highlights, it certainly feels like one of the most tumultuous windows in my own career with no doubt, still more uncertainty and change ahead. Our experience so far in 2020 has given us great conviction that we're ready for anything. Just a few days short of Thanksgiving, we're grateful for our people, grateful for our customers who empower us to continue investing in their long-term prosperity and our own. And with that, I'll turn it over to our new CFO, John North to walk through the first quarter financial results.
John North: Great. Thanks, Jeff. First, I just want to say thanks to Jay for the warm welcome, and to just reiterate how happy I am to be at Copart. It's obviously a phenomenal organization and team and I am sure proud to be here. With that said, I'll make a few brief comments on our operational results to provide more color around the earlier remarks and then we'll open it up for some questions. Global revenue increased $38.5 million or 6.9%, including a $2.5 million benefit due to currency. Global service revenue increased $27.5 million or 5.6%, a more accurate reflection of the underlying activity in our business and primarily due to higher ASPs. U.S. business grew 4.5% and international experienced an increase of 14.2%. Purchased vehicle sales increased $11 million or 16.5% as growth in the U.S. was partially offset by international declines, primarily driven by COVID-19 volume impact and a U.K. customer shift to a fee-based sales contract. Purchased vehicle profits defined as vehicle sales less cost of vehicle sales increased by $5.4 million as modest volume declines were more than offset by higher ASPs. Gross profit increased by $41.9 million or 16.4% and our gross margin rate improved by approximately 400 basis points to 50.1%. U.S. margin improved from 49.2% to 52.6% predominantly due to increased ASPs, partially offset by negative yard operating leverage due to reduced cost absorption across pure vehicle sold. International margins increased from 29.5% to 37% driven primarily by rising ASPs, but similar to the U.S. was affected by higher cost per unit processed. I'll now move to a discussion of G&A expenditures excluding stock compensation and depreciation expenses. In general, G&A expenditures will fluctuate and grow over time, but we continue to believe we can achieve additional operating leverage over the long term as if all trended data sold in our business, gross margins, G&A, unit sales and inventory changes. And we encourage you to review longer-dated headlines rather than a single quarter metric for more - a more accurate view of the business, particularly given the recent COVID impact. With that said, our G&A costs were down slightly, a decrease of $0.8 million from $43.3 million a year ago to $42.5 million in 2021. As a result, our GAAP operating income increased by 21% from $205.4 million to $248.6 million. We delivered approximately 500 basis points of operating margin improvement due to revenue growth from strong ASPs, partially offset by negative operating leverage from a lower absolute volume of vehicles. Net interest expense increased $1 million or 25% year-over-year due to reduced interest income on collected cash balances given the current interest rate environment and an increase in debt issuance costs and unused line of credit fees due to the July 2020 revolver upsizing and amendment. Q1 income tax expense was $46.5 million at an 18.9% effective tax rate reflecting an $11.8 million tax benefit on the exercise of employee stock options, which has been adjusted out for purposes of the non-GAAP earnings included on the earnings release. On a non-GAAP basis, our effective tax rate would have been 23.7%. In summary, GAAP net income decreased 8.2% from $218.2 million last year to $200.3 million this year due to a prior-year tax rate reduction for stock option exercises. Adjusted to remove these items, non-GAAP net income increased 21.2% from $155.4 million last year to $188.3 million in the first quarter of 2021. Now to briefly update our liquidity and cash flow highlights, as of October 31st, 2020, we had $1.6 billion of liquidity, comprised of $605.7 million in cash and cash equivalents, an increase of $424.6 million over October 31st, 2019 and a $1.05 billion capacity on our revolving credit facility, which is undrawn. Operating cash flow for the quarter increased $46.1 million year-over-year to $258.5 million, primarily driven by working capital benefits. Sequentially, operating cash flow decreased $8.4 million from the fourth quarter of 2020 as assignments have ramped back up consuming working capital and due to income tax effects. We invested $147.1 million in capital expenditures in the quarter and over 90% of this amount was attributable to capacity expansion and lease buyouts. In conclusion, our conservative capitalization and strong cash flow enable us to continue to make decisions for the long-term interest of both our customers and our shareholders. That concludes our remarks, we're happy to take some questions. Diego?
Operator: [Operator Instructions] Our first question comes from Bob Labick with CJS Securities. Please state your question.
Bob Labick: So obviously another terrific quarter and it looks like maybe both ASPs and volumes were up sequentially from the July quarter, but ASPs rose faster. And I say this because service revenue grew faster than yard costs. And so, I'm trying to understand the dynamic here between ASPs and supply and demand and see what other factors may be at play. And - so do you think there's been an increase in demand from the pandemic as you brought in new people, new buyers, etc, so that demand could even continue to outstrip supply even when volumes do return to pre-pandemic levels or how do you see kind of ASPs faring as volumes recover, I guess is the question.
Jeff Liaw: Yes, it's a very fair - and in certain complex answer - complex question and answer. I think in short, the prices are high, and it is assuredly not just the supply and demand. And I say that with some conviction Bob, because if volumes were down 13%, but ASPs are up 37%, then there are literally many, many, many more actual dollars purchasing cars at Copart, right, so on fewer units we're seeing more absolute dollars. So I think that leads me to conclude that at least in part, we are continuing to grow the demand base for the vehicles. You may recall we had grown, expanded our marketing efforts, we hired a new SVP of Marketing, we opened new lounges. So that's been an ongoing multiple decades theme, frankly, Bob. But that's certainly borne fruit in the pandemic, and we will continue to invest in that going forward. So how much of today's ASP increase is a function of supply and demand is hard to say. I'm sure it's part of it, but it's certainly not all of it. I think, equally important perhaps is the growth of the buyer base, and also frankly the total loss frequency. Those are interrelated as well and as total loss frequency increases and more and more marginal totals are totaled, those of course further drive ASPs upward, they further recruit new buyers because those cars are closer to immediately drivable. So there certainly is a favorable, a virtuous flywheel effect which we think is we're seeing in the pandemic as well.
Bob Labick: And then a question on international, didn't talk too much about it yet, so how has COVID impacted your plans? I think in the past you talked about Germany now starting to sell on an agency basis, so maybe an update on Germany, where it's going. Then the overall international emerging opportunities and were they affected by COVID, and how do you see those over the next three years to five years?
Jeff Liaw: So I think the short answer to your question is that the countries have very much been affected by COVID-19. I think I made a brief comment in passing, there are the two varying degrees, and in general, more severely than in the U.S. Our plans and our intentions and our execution, I don't think had varied as a result of pandemic. So investing in Germany, which you called out specifically continues to be a key theme for us. We continue to invest in the land and the technology and the people. And we are selling cars as you noted on an agency basis for carriers in Germany today, and so far demonstrating excellent results in doing so. The growth path then remains the same with all of the opportunities and challenges you've heard us talk about on prior calls, but including changing the way the industry manages the total - the total loss process in general to the benefit of both insurance carriers and the policyholders. So that of course is a much longer discussion, but no, our perspective on it certainly hasn't changed.
Bob Labick: And last one from me. Just a congratulations to John and the other new hires. So Jeff for you - and maybe Jay, but how do your roles change now with the new hires and the kind of expanded executive team?
Jeff Liaw: I think the - I'd say, the senior leadership approach at Copart has always been quite fluid, right. So I think the walls at Copart between functions and countries are quite a bit lower than what you would generally observe in public companies of our size and stature. So I think it's fluid, but certainly John will take on much more of the day to day leadership of what are traditionally considered finance and accounting functions including accounting, including Investor Relations and so forth. But also help to - help us navigate the strategic future for Copart in evaluating return on investments and our approach to evaluating ROIC for the various initiatives we undertake. Our new SVP of Marketing, Scott Booker comes from the online travel industry, which I'm sure you well know is one of the more challenging, competitive and difficult arenas when it comes to the online marketplace universe. And so, he will spearhead our efforts in continuing to grow that buyer base and continuing to build the demand for the supply that we bring to market. So I think day to day, it's hard to answer because no individual day looks like the other, but I think they will certainly take very meaningful leadership roles in their specific functions.
Operator: Our next question comes from Stephanie Benjamin with Truist Securities. Please state your question.
Stephanie Benjamin: I wanted to touch a bit on the non-insurance side of your business. It saw a pretty, pretty strong growth particularly in the dealer side as well as excluding some of that charity wholesale business you called out, Jeff. You know, really interesting I think it made sense, just given your digital platform for the strong outperformance we saw in last quarter. But clearly that continued into this quarter, despite some of the other traditional non-insurance auction providers opening up more. So maybe you can speak a little bit about what you're seeing in that segment. If there have been some share gains or some opportunity where it's actually sticky, pretty sticky, and these gains kind of continue going forward. And really wasn't just pandemic driven. Any color there would be helpful. Thanks.
Jeff Liaw: Yes. I think it's a fair question, Stephanie. I think if you go back and you've been following us for years now, but track the individual quarter-by-quarter trends for Copart Dealer Services, I think you could see this growth trajectory long predated the pandemic by many years. So it's a business we've steadily grown over the years and we've grown it today in the pandemic, while other wholesale auction platforms we think have not grown nearly to the same extent, in many cases may have shrunk. That's largely a product of auction returns, what the - what we generate for our sellers at auction is ultimately what matters. I'm sure we are - I'd like to think we're very likable people and charming, but ultimately the dealer's key priority is achieving an excellent return and doing so quickly. And the liquidity of our online marketplace I think is what's distinguished us. We haven't had to adapt real time, we haven't had to invent a purely digital auction after having become accustomed to physical auctions instead. So I think there is something about being natively digital which perhaps has helped to enhance our relative performance during the pandemic. But more broadly, that is an important - important profit driver for us, important long-term revenue growth driver for us as well. And we are achieving good returns for our dealers and aspire to do more and better still.
Stephanie Benjamin: And I was wondering you'd touch a little bit on the international side of your business. I know you spoke a little bit on Germany and some of the efforts there. Has there been any kind of internal plans or investments to expand even further internationally, so maybe in some other new markets?
Jeff Liaw: In short, yes. I think Germany and in Spain where we have a footprint as well have always been viewed as the gateway to Western Europe more broadly. Western Europe shares many of the characteristics, many of the macroeconomic and social characteristics that make total loss such a compelling economic proposition in the U.S. and Canada and the U.K. and elsewhere and that is a high repair costs, high regulatory burdens and so forth in good cars that have intrinsic value both in those native markets and elsewhere in emerging markets where demand for cars and repairable drivable cars and mobility continues to expand over time as well. So Western Europe certainly is a - it's our expectation that our success in Germany and Spain will eventually extend elsewhere there. Now there are other international markets long term that certainly will emerge as priorities for us as well, but I'd say for the relevant X-year horizon, our emphasis is on our core markets where we already do business today, Germany and Spain and Western Europe.
Operator: Our next question comes from Craig Kennison with Baird. Please state your question.
Craig Kennison: Wanted to start with government lock down scenarios, I know the government in various geographies are considering different lock down options here, and I'm just wondering if you see geographies that are more at risk or if you're approaching the spike in cases we've seen across the globe in a different manner, now that you've learned what you have through early - the early portion of the pandemic.
Jeff Liaw: Hi, Craig. A good question, and one I'm not sure we have a more enlightened perspective than you do. So it's a function of both of the virus trends themselves and then the expected government and social response to them. And I think we've now have six months of experience, all of us do in understanding how - or eight months, understanding how that unfolds. So we are prepared for really any scenario, including very extreme lock downs, I'd argue that the April, May, June timeframe was among the more severe windows and we could adapt, we're able to adapt our operations, able to prove that our operations are an essential service to the communities we do business in. So I expect to continue to be able to serve our customers and our communities. The volume effects, I think remains to be seen. I think it's fair to say we don't know.
Craig Kennison: And my second question has more to do just big picture with your relationships with your insurance consignors. We know that you have some exclusive relationships where your insurance partner consigns 100% of their volume to Copart. You have others where you get a fraction of that volume. I guess I can see how an insurer might want to have more than one vendor for that service, but what would be the benefits for an insurer that commits to an exclusive agreement with Copart? Is it cost, are there - is there data that is unique when you have an exclusive relationship? Is there a priority access? I'm just curious why you're able to win those exclusive deals.
Jeff Liaw: I think the exclusive deals are a reflection of a strong relationship with those customers. It's not per se that we have American Airlines' platinum status with warm nuts at the front of the plane, per se. It's more just a reflection of the excellent returns we generate, the excellent service we provide to them. So a, there is no secret ring per se, Craig. But we work like hell to earn that trust from our customers. We earn it in the day to day in the pickup and towing of vehicles and the auction management returns we generate and the entire work we do for them. And certainly we work like hell on catastrophic events to make sure that we are the most responsive, that we have the most people and process and technology on the ground to serve them at those critical moments. So those exclusive agreements are a badge of honor for us that we work like hell to earn, and for the carriers, the benefit to them is that they get the Copart experience end to end. It certainly does reduce the complexity for them in not having to manage as many providers across their own platforms, and so there is one counterparty with whom to integrate technologically, there's one counterparty with whom to discuss inventory trends in X, Y, Z markets or processing older dated units and so forth. So the simplicity I think is worthwhile for makers as well. But in general, I think it's a reflection of a - of good service and good returns.
Craig Kennison: Great, thanks. And Jay, if you figure out Wall Street, please let me know.
Jay Adair: Yes. I love it when you knock the cover off the ball and the market moves the opposite direction, you think it's going to move. So it's something I'm yet to figure out. I'll let you know.
Operator: Our next question comes from Bret Jordan with Jefferies. Please state your question.
Bret Jordan: On the dealer volumes, that growth against the declining backdrop, I guess, is there an explanation and are there more cars that you're selling in the non-insurance that are going to export? Are you getting a higher bid in North Africa or Eastern Europe and that's driving incremental units to you? And I guess when you think about across the board units, do you have a feeling for the direction of how many cars go to export now, are you exporting more of your volumes than you were maybe a year ago?
Jeff Liaw: So the answer to your - the first part of your question is yes, a meaningful portion of those cars we auction on behalf of our dealers are ultimately exported and it's therefore that more expansive buyer universe with access to the cars that helped to drive the differential returns. The more precise question you asked afterwards about whether the international buyer mix is higher year-over-year, over that time horizon, it's harder to say. And I think it's probably flat, it may even be down slightly in part because of the currencies of the relevant buyer countries for us had been weakened in the pandemic. Currencies, if you've been tracking throughout, there's been a lot of noise, some currency depreciated a lot versus the dollar and others have depreciated a lot. For the buying countries, their currencies have generally weakened. So they are actually paying way, way more in their own local currencies, and our international demand in absolute terms then has grown. But their relative purchasing advantage is more in near term impaired. So over the kind of time horizon you're describing, it's closer to breakeven in terms of the volume changes year-over-year, but certainly over a 10-year and 20-year horizon, the international buyer is much more important today than it was ten years ago and will be much more important in ten years than they are today.
Bret Jordan: And then a question on catastrophic, you talked about multiple mobilizations, but limited property damage. Was catastrophic a negative in the quarter in the sense that you had the cost of showing up to storms, but not enough volume created by them?
Jeff Liaw: It is, but not enough to call out and in part because I think we've seen enough seasons to know that it's always - there's always going to be some noise in it and trying to adjust for - I don't see a whole lot of value in trying to report no storm EBITDA, right, because I'm not sure there are no storm operating profit, I'm not sure there's any scenario in which there are no storms whatsoever. So suffice it to say that when there are various severe events like Hurricane Harvey, they call it a meaningful net effect in our P&L, you'll hear us describe it, but we generally try to accept as good and bad the noise that comes in the business and this year's storm activity I would characterize as such.
Operator: [Operator Instructions] Our next question comes from Ryan Brinkman with JPMorgan. Please state your question.
Ryan Brinkman: Congrats on another strong quarter. Thanks for taking my question, which is about - you know, the second straight quarter of this 26% or 27% year-over-year growth in average selling prices. Firstly, are these record price increases? I cannot recall them previously growing this fast. And then also, can you just talk about the biggest factors that are driving the increase and maybe rate the sustainability, your outlook for those different factors such as whole car prices, maybe metals or maybe precious metals, I don't know. And what has also been the impact of mix, such as, for example, if you're selling these newer higher quality of more drivable vehicles, do you think we could see these types of increases for another quarter or two before you start to lap the difficult compares or maybe should we think about some sort of moderation beforehand done on whole car prices or something like that? Thanks.
Jay Adair: First just a clarifying point to make sure I didn't misspeak, but our - I think our ASPs last quarter were up 26% year-over-year and this quarter were up 37%. So the increases is more meaningful this quarter than it was last quarter. Yes, we are at all time highs, and yes, I believe these are all time year-over-year changes as well in selling prices. You may have been away for a moment, we did comment a little earlier on the selling price trends in the business and what portion of it is quote durable and not. And I think there is likely some supply and demand characteristics here. But overall when we have seen volumes decline 13%, but average selling prices increase 37%, we conclude that the absolute dollars flowing to Copart auctions are meaningfully up year-over-year. So it's not just supply and demand, it's not just a fixed number of dollars pursuing a certain number of units, it's much more than that. To your question about mix, I think it is fair to say that as we've seen total loss frequency increase that, that benefits us in the form of ASPs because marginal totals generate higher selling prices at auction. I would note that that's also been a multiple year trend. Total loss frequency in 1980 was 4%, today it's probably north of 20%. So it's not something that's happened during the pandemic, per se. But it arguably has accelerated to some extent during the pandemic, but it's been a true phenomenon for many years. Which is one reason why until if memory serves until the third quarter of 2020 which was right when the pandemic hit, until then we had experienced ASP increases for 13 straight quarters or thereabouts. And that is a reflection of our marketing efforts by recruitment total loss frequency and the like. So some of - so no doubt, some portion of the - there are secular drivers then, that will lead ASPs up over the very long haul. To what extent today's 37% increase is purely a pandemic related phenomenon? Very difficult to say. It's certainly not all of it.
Ryan Brinkman: And then just last question is, if you could weigh in on sort of the whole inflation versus deflation debate that's taking place may come in, we're seeing a lot of inflation in used car prices, but there is deflation in other areas like commercial real estate, et cetera. I was just thinking that if one was of the view that there is going to be materially higher inflation over the long run because of what's happening with - that the money supply and Federal Reserve or whatnot, I mean, you own all of your land, so that appreciates in value, won't face higher rent prices, and you get compensated as a percentage of transaction prices. How is the Company positioned to benefit or not from inflation? And is that part of - is that potentially part of the investment thesis here?
Jeff Liaw: I'd say only indirectly so. So, as you know, for example, you cited one of the more important strategic decisions we have made and continue to make which is that owning our land is the - is the more correct approach to navigating the - our balance sheet. Even though on paper, any way you could arguably turbocharge return on equity by selling that land and leasing it back. We've concluded the strategic importance of controlling our own destiny, owning our land knowing that we can assure it's used for our customers for the next 50 years, outweighs the leverage benefit of a potentially more balance sheet efficient approach. One byproduct of that I think is some inflationary protection, that we do find ourselves in an inflationary environment, we are both landlord and tenant. So we are not subject to the potential risk you described. When it comes to inflation in general, inflation is certainly a fraught expression, and certain indices include or exclude durable goods like automobiles and real estate and the like, some exclude fuel. So, it's harder to comment on it in isolation. I would say in general, inflation does not - it doesn't enter our decision calculus very frequently when it comes to the strategic and operational decisions we make. So hard for - hard for me to know, I think you - and the - and Wall Street will certainly have a better perspective on this than we will. But it's not top of mind when it comes to the decisions we make.
Operator: Thank you. There are no further questions at this time, I'll turn it back to Jeff Liaw for closing remarks. Thank you.
Jeff Liaw: Well, thank you for the thoughtful questions and we look forward to talking to everyone on the next call. Have a good day.
Operator: Thank you. Ladies and gentlemen, thank you for your participation. This does conclude today's conference. Have a great rest of your day. Thank you.